Operator: Good afternoon. And welcome to the Sigma Labs Earnings Conference Call for the First Quarter Ended March 31, 2018. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A replay for this call will be available approximately one hour after the end of the call through August 15, 2018. I would now like to turn the conference over to Scott Gordon, President of Core IR, the Company's Investor Relations Firm. Please go ahead sir.
Scott Gordon: Thank you, Gary. And thank you all for joining today's conference call to discuss Sigma Labs' corporate developments and financial results for the first quarter ended March 31, 2018. With us today are John Rice, the Company's Interim CEO and Nannette Toups, the Company's CFO. At 4 05 PM Eastern Time today, Sigma Labs released its financial results for the first quarter of 2018 you have not received Sigma Labs' earnings release, please visit the Investor's page at www.sigmalabsinc.com. During the course of this conference call, the Company will be making forward-looking statements. The Company cautions you that any statement that is not a statement of historical fact is a forward-looking statement. This includes any projections of earnings, revenues, cash or other statements relating to the Company's future financial results, any statements about plans, strategies or objectives of management for future operations, any statements concerning proposed new products, any statements regarding anticipated new relationships or agreements, any statements regarding expectations for the success of the Company's products in the U.S. and international markets, any statements regarding future economic conditions or performance, statements of belief and any statements of assumptions underlying any of the forgoing. These statements are based on expectations and assumptions as of the date of this conference call and are subject to numerous risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Some of these risks are described in the section of today's press release titled cautionary note on forward-looking statements and in the public periodic reports the Company files with the Securities and Exchange Commission. Investors or potential investors should read these risks. Sigma Labs assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. I will now tune the call over to John Rice, CEO. John?
John Rice: Good afternoon and welcome shareholders, and welcome other parties interested in Sigma Labs', as Scott mentioned, I am the Interim CEO of the company. The purpose of this call is to report the Company's results and developments for the first quarter of 2018. What happens is as many of you will know, I reported a month ago two years, in our year end report for 2017 that we had made the strategic decision to cease R&D only sales and licensing and to focus entirely on installations of PrintRite3D Systems in companies that are now making or buying production runs of 3D metal parts and so I am unhappy with the quality yield of those runs. And we are focusing on these target customers because proof of performance tests with them will logically lead to sales of our products to multiple machines in production settings. We found that sales of most R&D applications that we have done in the past are a one-off sales. They require significant customer support and they really do not lead to any additional unit sales. In order to implement this intensive narrow focus we removed the company R&D silos. We recast ourselves into an integrated technology commercialization team. We began working really closely with accounts such as Pratt & Whitney, Solar Turbine, Siemens, Woodward, as well as major original equipment manufacturing companies that make 3D metal manufacturing equipment, because we want to be Sigma inside companies like them, when they ship their product to end users. So in the first quarter of 2018 this strategic focus from late 2017 led to the following outcomes. First, product development and response to our customer needs continues to accelerate. When we exited 2017, our product was PrintRite 3D version 2.0.4. Today we are deploying PrintRite 3D version 3.1.2 to go our install base and that is a really significant change in product capability and customer usability. We have adapted these changes or adopted these changes by adapting to the new customer profile and expectations of large company production and quality assurance personnel, selling a large company production team on installing in-process quality assurance tools into the heart of their additive manufacturing equipment is reminiscent of the challenge that developers of the human heart pacemakers probably faced with early adopters. Not only must the adopted individuals know that equipment works, but they have to know how it got to know why it works, what are its potential weaknesses, how do how do we break it and oh well we should do several more runs to be sure the data does not stray and so on and so forth. It's a very rigorous and justifiably rigorous process and yet in the course of this process of proved that now proven again over the past four or five months we have moved past a considerable amount of scepticism and caution and we are really working with some individuals now to show us a lot of excitement and what we do and that is important to us. In March also we closed a plate [ph] financing for a million bucks with the use of proceeds being first to acquire additional resources and subject matter experts for development and completion of close loop control and second general working capital. Also in March and because of some of our most leverage opportunities for both end users and OEM accounts are in Europe, we have hired a business development sales engineer and we are bringing on a senior technician based in Germany and England respectively to start with the company in the second quarter. Just yesterday we announced Markus Meidenstein, who is the sales engineer and he will be based in Munich. As a subsequent development you may have noticed the company's press release yesterday announcing the granting of a method for metal 3D manufacturing quality assurance. This patent granted is very significant to us because it is - it was our first patent application which was filed in a string of what is now 18 quality assurance technology patents applied for over the past five years. So it's a major - it's the first step of what we hope is a team. As you may recall from other publications by us Kilpatrick Townsend a very substantial national patent firm is the group who does this work for us. Meanwhile the first quarter the impact of our changes in customer targets and support continued the late 2017 trend of flattening sales due to the discontinuation of R&D sales. Our big bet is that the dedication of all of our efforts to demonstrate proof PrintRite3D value and efficacy to our target customers will lead to a significant sustainable sales growth with repeat sales faster than if we divert to customer support and product development to one off R&D sales. I know this process is very hard for some of you to watch. It is certainly very difficult for long-term shareholders to trust, but please bear with us the decisions and the activities that are amplifying our short term concerns for flat revenue are also the actions that we really believe are required to punch Sigma through the early adopter shield that we have got to pass through in order to be on track for future growth and profitability. Now we have no assurance of our success, but we are very confident that we are striving to do the right things to get there. Now in closing, I want to tender our soliloquy and answer to the most common question that I received from shareholders. Why is it taking so long and it is indeed taking too long for Sigma's good health for our major target customers to sign off on the value of PrintRite3D and to place orders for it to apply it to production lines of their machines, to make - make it possible for this decision to be made in Sigma’s favor by people who are deep in experience and being hit with unexpected consequences when making changes in quality assurance procedures, we have had to dramatically reinvent our culture, our job requirements, our behaviours, our sensitivity to the market and our customer. There is a chemistry in this process and our company and culture and our effectiveness has grown inefficiently [ph] when intermingled with the chemistry of the quality and production people with us. And yet there are still R&D folks in the mix, but mainly these are operating people and it's led to dialogue and negotiation and collaboration between Sigma with these key target companies over the past four or five months. Today we do appear to a successfully and mutually defined the precise – the process, the data, the problem detection capabilities that are required to make adopt and buy decisions. So as we enter the endgame of testing there will be more pop up delays, there will be glitches, I know and yet I also know that PrintRite3D is a heck of a product and we think we are seeing customers beginning to really appreciate that. So bear with us, bear with our target customers getting that first approval to install a heart pacemaker like product requires determination that we have definitely proven we have patients and patience that both inside and outside the company we all struggle to have. So with that said, I would pass the call back to Nannette Toups, our CFO who will discuss financial results for the quarter.
Nannette Toups: Thank you, John. I will now discuss those financial results for the first quarter of 2018. During the three months ended March 31, 2018 we recognized revenue of $103,415, which compares to $114,523 recognized during the first quarter of 2017. That's a reduction of $11,108 or relatively flat. We utilize the revenues that we generate from our PrintRite3D system sales and our engineering consulting services to help finance our operations. These revenues of course are not sufficient to cover our operating costs as we move forward. And so in 2017 we raised just over $525,000 through the sale of common stock. We expect that our revenues will increase in future periods as we seek to further commercialize and expand our market presence for PrintRite3D related technologies and get some new contracts and continue to provide our services under Honeywell, our contracts already existing with Honeywell Aerospace. However, to supplement those revenues we just completed an additional raise of $840,000 in equity capital through the sale of preferred stock in early April of this year. Offsetting our revenues are the costs of both revenue and operations, our positive revenue for the first three months of 2018 were 73,795 which was again flat with what they wear in 2017 of $47,534. Moving on to operating expenses, those operating expenses are operating expenses as most companies are comprised of our internal operating and sales expense, outside service fees, research and development costs and depreciation and amortization. In the first three months of 2018, our total operating costs were a $1,177,130 million as compared to a $1,159,494 for the same period. The most significant of our operating expenses is personnel costs, specifically the payroll and stock-based compensation components of personnel costs, to which personnel costs were $560,179 or 48% of total operating costs and $577,842 or 50% of total operating costs in the prior year. The total payroll for the first three months of ‘19 – and 2018 were $39,554 lower than in the same period of 2017 and that was primarily due to a bonus that was paid in 2017 to our Business Development, Vice President in connection with the satisfaction of some performance milestones. The stock-based portion of personnel cost was $21,890 higher in the first three months of 2018 compared to the same period in 2017. Moving to outside services, we incurred $319,622 in outside service fees compared to $364,784 during 2017. The services in connection with our obligations as an SEC reporting company, the February 2017 public offering, and the preparation for the April 2018 sale of convertible preferred stock were the major components of the fees incurred in these periods. The decrease in these fees in 2018 resulted primarily from the one-time $42,000 entry fee we paid to NASDAQ in connection with becoming publicly listed on the NASDAQ Exchange for the first time in the first quarter of 2017. Research and development expenditures of $121,977 were incurred during the three months ended March 31, 2018 compared to $54,505 in the same period of 2017, that’s a $67,472 increase and it resulted primarily from the purchase of multiple upgraded services - servers I am sorry, computer servers and various other pieces of specialized equipment we need as we move forward in our concentrated acceleration of technology development in 2018. That brings us to what our net loss in each of the quarters was. For the three months ended March 31, 2018 that net loss totalled a $1,170,876, and that compares to a loss of $943,965 in the same period of 2017, so our loss increased $226,911. The actual operating loss contributed $63,684 to that increase of loss, and other income and expenses contributed the balance. As of March 31 we had $1,347,319 in cash on our balance sheet compared to a $1,515,674 in cash at December 31 here in 2017. With that, I will turn the call back to John.
John Rice: Thank you, Nannette. Also as we wrap up the meeting and go to questions, a summary of the company's position is that we’ve never been so enthusiastic and confident about the actual technology that we bringing to market and the differentiation from the other folks who seem to be scratching at the space. So we are very confident that what we have is strong and we are aligned in a way that we have never had the privilege of been with our customers in the past. And that has led us to be very optimistic about where we going in the future. So bear with us and maybe good things will happen. That said, let's move on to questions.
Operator: [Operator Instructions] The first question comes from, pardon me if I missed mispronounce this Nehal Chokshi with Maxim Group. Please go ahead.
Nehal Chokshi: Thanks. So you mentioned that you’ve moved past the process of proven it again. What are the indicators that are giving you the confidence to say that?
John Rice: Well the process with – Nehal, good to hear your voice. The process that we have gone through is a little more extended than we were hoping for, as a small company dealing with the large company we've discovered that everything takes more time. So over the past three to five months when we wanted to move immediately into endgame testing we found what we really needed to do was to enter a process to - with a broad horizontal base which cost us among other things to have to create an actual seminar, a two day seminar to educate customers on the metallurgy and software algorithm process and patterns that were using, because it was so important to the production people to understand everything. Getting the good results without knowing why it was a good result does not wash with these folks and you really have to respect that. We were fascinated – its horrified to see how long that actually takes. The bottom line therefore is that today we have worked through the process, not with everybody, but with a significant percentage of the key folks with whom we are aligned to be working on a mutually agreed sheet of - here's what - here are the parts we're going to make, here is the results we have to have, here are the things that you must be able to see and here is what we must be able to do with your data and your information. Getting to that level of explicitness is really a big deal because once you - it's like if you were selling a car, people say alright it has to have acceleration of zero to 60 of X. It has to have a top speed of Y and so on and so forth. So now that we have identified those thresholds and those metrics we're pretty excited about it, cool, let's go do the next thing. And yes they'll do it again. They'll sort of say, let's do that one more time, just make sure there's no data straight. But for us this is a major step to be at.
Nehal Chokshi: Okay. Understood. And now having defined that’s our parameters that the software needs a format given that this is QA software, presumably to simplify things to be quite large and therefore you know, how large is that sample sizing to be, how long will it take to produce that sample size?
John Rice: Those are the specific metrics that we have been developing with each one of these folks. You know, it's complicated about this space is that you're measuring different things than quality people are used to measuring. The template for traditional metal parts, quality is all based on traditional machine shops and they are really wonderfully accurate CNC [ph] machines that strip metal off - chunks - other chunks of metal for that you know classic production method. The statistical quality systems that derive from that space don't apply here and so we've had to develop a whole new set of metrics for people. The - what we have ended up saying is look, in the first couple of runs we will really want a third party to cut up 100% of the run for proof-of-concept and that's very encounter-intuitive to people who are used to the traditional statistical, can I just cut up three, won't that tell me the rest, not with an AM machine, you don't know where an additive manufacturing metal machine there may be unpredicted flaws. And so yeah, we've had to develop a new way of analyzing how to analyze quality outcomes in order to adapt our technology and our customers to the existing AM equipment.
Nehal Chokshi: Okay. And IS the basic question to get to a question I really want to get to. So I apologize. But could you just remind me of your pricing mechanism, is it price just on the software and you're passing through the hardware, is there hardware doesn't even run through your revenue or do you – does your hardware run through your revenue?
John Rice: The answer is yes. And by that I mean, when we are dealing with a end manufacturer, say like Siemens where they've got a bunch of equipment on the floor and they want us to install on one. In that case we have to sell them hardware, sensor hardware and our sensor pack, which is an edge computer to acquire and process the data and then we flow that through our software algorithm kit to get the result. So in that case there is a charge for the hardware. There is a license for the software and there is an ongoing maintenance cost after year one for maintenance and service and new features on the software. In the case of an OEM equipment manufacturer many of them actually are putting sensors into their equipment now and we've been - we have learned and demonstrated that we can - in many cases we can simply acquire their data and tell them what it means, which means we're not selling the hardware that's already there, we're using - we're adding our sensor pack which won't go away in our software, but we're not - we're not having to put in probes and sensors.
Nehal Chokshi: Okay. So the companies that you're working closely with that have significant metal - additive manufacturing runs, have you sized - that size of those opportunities that you guys are working with in terms of the potential software spend, say over the next - within the first 12 months of what they say, okay, we are indeed going to go forward with Sigma Labs QA software?
John Rice: We have done that with alacrity.
Nehal Chokshi: And any chance you're willing to share that?
John Rice: None at all.
John Rice: I'll leave it at that. And thank you very much.
Operator: [Operator Instructions] The next question comes from Tower Smith, a private investor. Please go ahead.
Tower Smith: Thank you, John. I have got two questions. One it was good to see the seminal patent issued. Is the IP still being used as collateral, I believe there was still a balance of $100,000 that was due in a few days. I was wondering if that's going to be paid off or is going to be restructured where the - where the technology or the patents is still being used as collateral?
John Rice: Yes, technically there is no collateral. Actually, that note was rolled over and is payable in October. And what we would have - we were perfectly happy to pay it off, also the person who holds the note has been a friend of the company and so in his case we're happy to extend it out. But that's too little on the amount of money for - the collateral is not at risk.
Tower Smith: All right. Good enough. Second question, in February 2017 you announced a strategic alliance with Morf3D. Could you bring us up to date on that relationship?
John Rice: Yes. The company as was discussed from time to time a year ago, the company and Morf - Sigma and Morf contemplated the question whether or not they should become more closely affiliated in the event Sigma loaned more than $0.5 million to advance their cause. The companies did not choose to merge, but have continued good friendship as you are a well-informed investor because you'd already seen the announcement of the patenting yesterday. So you also must know that Morf has recently paid off the $0.5 million that we loaned them a year ago. Morf is now opening an innovation center in Los Angeles. And I'm hoping to sit down with my friend Ivan and see how we may be able to be a part of that. They are very important company, they are very good people and I think our relationship will continue to be good.
Tower Smith: Okay I guess one other quick question. It was good to see the addition of technical and sales support staff, I wonder what's the present has a headcount?
John Rice: 13. Well, excuse me, no 14.
Tower Smith: That's up about 3 in the last year is correct?
John Rice: Yeah. Well there's another 15 in the pipe
Tower Smith: Okay. All right. Thank you very much. I appreciate that.
John Rice: Thank you.
Operator: Your next question comes from David Robinson [ph] with Sigma Labs. Please go ahead.
Unidentified Analyst: My the 15th John.
John Rice: It sounds like it, congratulations.
Unidentified Analyst: Thank you. Few questions. The NIST and LZN and contract partnership do they involve any revenue to Sigma and are there any expenses beyond incidental sort of expenses associated with those partnership endeavors? Are we sending people around to those as institutions?
John Rice: They're very – its interesting, they're similar, but then again different. They're similar in the sense that both of them are recognized standards houses. LZN however is in service primarily to private companies, whereas NIST is really a common standard for American industry, but not specific companies. In the case of LZN AS is has been pointed out by others to us Gviz [ph] you seem to be associated with a company that is a prime research supplier to Airbus and which is why they are attractive to us, our deal with them is that we trade value back and forth and we do have to support them in the course of our European activities with Siemens and others. The goal there is to successfully have demonstrated something that their direct connection with key industry players who are known to the public will and - will lead to sales for us we would hope. In the case of NIST that is really a matter of unlike LZN which we perceive to be a channel to prospective sales, NIST is a channel to be a common and important recognized common standard in our business culture, in our general U.S. business culture. It does not in our opinion lead to direct sales, but it does keep us from losing them by not by - not being unknown and we have to support that to the extent that we are sure that they are using the equipment appropriately, it's not very expensive, but that's required.
Unidentified Analyst: There are some costs to Sigma associated with both partnership and no revenue to Sigma. In other words, neither organizations is paying anything currently to use PrintRite for purposes of collaborative project?
John Rice: Well there was income associated with LZN and the - our willingness to do an LZN deal even though it is ostensibly to our research was because of its connection to specific large industry. In the case of NIST that it's purely a matter of trying to keep ourselves visible and ahead in the standards loop for our technology.
Unidentified Analyst: As far as on the patent front, do you think that - understand it's likely the case that there are different patent examiners involved, with respect to the several patents that are still in various stages of prosecution, as opposed to the you know, recently granted patent. But do you feel that there is reason to think that the success in having been granted the patent that has just been granted [indiscernible] other patent examiners who are making considerations about these other applications finding in Sigma's favor?
John Rice: Interesting. So had we - had we've been denied the patent I'd really be worried about the others. But having them - then having said you're going to get the patents, I don't think that - I very much doubt that the other examiners would be influenced by having received this one, I wish they would be, I don't think it works that way. Essentially our primary projection and source of confidence in this domain is the patent firm we use as Kilpatrick Townsend if you're not familiar with them check them out, this is really one of the top five firms in the country and they don't do - they don't have frivolous stuff. So we have some very serious capable people who think we have now of our 18, 17 very strong applications before the examiners. So as a company we're really pleased to have started this process before many people in the marketplace understood its necessity and importance, which means that we are not at this point in time we are not aware of conflicting with other people's patents. We're not aware of there having been a flurry of other people's patent activity having begun when we began, when Sigma began before my time to do the…
Unidentified Analyst: Is everything right…
John Rice: Yeah.
Unidentified Analyst: And as far at the count of 17 patents remaining in various stages of prosecution is that 17 applications with the – in United States or does that include fir some of the same technologies patent applications in other countries?
John Rice: It includes patent applications in other countries.
Unidentified Analyst: So in terms of - if you will separate technologies that are patents are being sought for how many if you've got one approved [ph] how many….
John Rice: Well, the one is for the one actually. It's not in our best interest to publicize the answer that you're thinking.
Unidentified Analyst: Okay. So we've seen in recent weeks some changes and enhancements to your incentive package and noted and appreciated in particular on April 30th, your exercise to some share purchase right. That was noted and appreciated. Hearkening back, reflecting back to last year in some interviews that you gave, you had made some general references to work out and turnarounds and these are two business situations where someone with the kind of business experience such as yourself comes in and things turn things around improve circumstances and then a permanent CEO is brought in and of course you're you know, often continuing to – you’ve got that interim prefix associated with your title still. Can we infer, are we to infer from some of these developments with respect to your incentive package, you know, options function and share purchase rights and such that you all may not be looking to - you in your capacity as a board member and the other board members may not be so actively looking for a permanent placement that you may become our permanent CEO?
John Rice: I don't. expect to become the permanent CEO, I intend not to. Although I might very well if asked to stay on as chair of the company. The - my job in life is to make things a lot better and then hand them off to somebody who is of an industry. So neither I nor the board at the moment are in the process of trying to find a successor CEO because we haven't got to that step function level up to do that. But - and so my goal is to successfully get us through to be a company that is cash flow, positive cash flowing, if other we are like so on and so forth. And then does step aside.
Unidentified Analyst: Got it. One last one if I may, in one of the presentations, I believe it was an investor presentation last year not an earnings call. There was a reference made, I think it was a sort of - sort of small print reference. I mean, may not be exact for us, but one exact for us, the product when its referred to or characterize and performing in an adequate [indiscernible] inadequate capacity. The question is as you have continued to have a great deal of communication and closer and more meaningful communications and we understand with the variety of customers, partners, potential customers, do you feel that its fear to say that a stronger adjective could be used to replace the word adequate that the way that product is being received in terms of the quality of the information that it provides and reliability of the information that it provide goes beyond adequacy?
John Rice: I love that question. I feel like a little kid about to play T-ball. So I'm not recalling, I hope it wasn't me. I'm not recalling a presentation that’s characterized, the product as merely adequate.
Unidentified Analyst: Wasn't a verbal saying - it was something that was written and also [indiscernible] I can picture the assets still, I am pretty certain that it was sort of the small print...
John Rice: It's very interesting anyway. So what I can report to you is what's in the marketplace now, what people already know which is okay, what does PrintRite3D do today if delivered to a customer, what would they get. And the answer is some of this you've seen in my PowerPoint’s, that the first thing that takes place is that our software actually enables the quality people to characterize and classify their equipment. And by that I mean, that in the process of doing an assessment of their product and their manufacturing, we're also able to identify for them where the machine has sectors, where the parts are different even though the machine has the same settings pretty much for every part at the outset. You will find that different places on the machine very often on different machines very often have different characteristics and you have to learn how to adjust the machine for that part of the build plate so you have more or less power in order to make the part over there like all the other parts. That's why quality in this particular niche of manufacturing is unusual to most traditional quality people, what kind of machine is that. So at the very beginning from the outset our equipment will help the production people to understand where their machine behaves inconsistently and to know very early and very fast how to make the adjustments settings so that those parts that used to be different in some one spot or another machine are now the same as the others. The other thing it does which is really important is it allows the operators to monitor the consistency of the machine. One of the problems with all high end, high technology equipment is the speed at which it degrades no matter how careful you are. With CNC machines, the aerospace people will actually lock it down. They will say we're going make our parts, you can't change the machine. The problem with AM equipment is that over time it begins to stray, you begin to get deviances in how the lasers operate in or the timing, number of things that can begin to stray and our equipment will spot that. And so its first level of contribution is to tell you how to adjust your machine to make some of the parts that used to be exceptional now just like all the others, and keep it that way and then it allows you to understand whether you have to - when the maintenance cycle for that machine should be triggered. Both of those are really important because absent our equipment, I don't know how you would do it, except by discovering that your quality had gone the heck after you've made a bunch of stuff, except by discovering that instead of 60% acceptance you'd slipped to 56. So the first thing that is really important is our equipment does that. Then once people are in production our equipment can tell them in real time whether or not the sweet spot for - the belt pool temperature behaviors is adhered to or not at any given sector or place on the machine for any given part, and that's really a big deal. And the thing that we are working towards as we have said publicly is to be able to make available the signatures of different problems to machine operators to send a signal to cure the problem that may be developing. The last step will be when we convert those signatures to action, automatically in the machine. But today we can tell a machine operator that something is going out of spec and they can either react to it or stop making it and so forth.
Unidentified Analyst: In terms of identification of problems I understand that you're not at – “closed” will please the correction isn't occurring automatically as we stand here today and that’s you know, certainly what you’re driving towards. But as we stand today in terms of identification of the variances of the problem in the bill, do you feel comfortable characterizing the accuracy and reliability of the product as going well beyond adequacy?
John Rice: Yes, this is not about adequacy, this is about two things, its first of all its knowing whether or not the problem is there and that we do with as much precision as the customer wishes. That sounds squirrelly but it isn't. But we can we can see problems that are frankly not necessarily important to a given customer and a given part. Not every variance in quality consistency is serious enough to reject the part.
Unidentified Analyst: Okay. That’s interesting.
John Rice: So part of our process with customers - Siri on my telephone just heard that comment and weighed in on it now. So what we do with customers is actually do run tests. We will identify parts and we will - problems in parts and we will destroy that, we'll have a third party destroy them and review with the customer what we're looking at to determine whether or not the customer thinks that's important. If they say that is then we set the machine to actually to call out anything at that or for a lower level and leave it alone if it's otherwise okay. So we have more acuity, more accuracy than in all parts required. So we actually have to set the machine with the - to the customer's request as to what they want us to call out or not and we can do that.
Unidentified Analyst: The next question comes from Kevin May, a private investor. Please go ahead.
Kevin May: Hi, John. I just have one question for you today. As far as our software goes, we had a previous contract a while ago which materialized that we really saw anything come out of our current contract with Siemens is for production. They have a wonderful software and then we had our collaboration with 3dsim now ANSYS, do we see - does the company see the integration of software capable similar to our integration with OEMs?
John Rice: Absolutely. The Siemens is a manufacturer in Sweden making stuff and working with our equipment and they are also one of the great control companies in the world with a footprint in this space as is materialized and we are very interested in both companies.
Kevin May: Okay. Is there any applications going on at this time that you can speak on or this interest?
John Rice: I think I can't say anything at the moment.
Kevin May: Okay. Fair enough…
John Rice: Yeah…
Kevin May: All right. That’s the only question I had for you. Thank you.
John Rice: Yeah.
Operator: We have reached the allotted time for questions. This concludes our question-and-answer session. I would like to turn the conference back over to John Rice for closing remarks.
John Rice: Well, I want to thank all of you for calling in and putting up with this call. I hope that your takeaway is that Sigma is an important company with an important product. And bear with us and we hope that we will reward you. And thank you very much for following us. Take care.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.